Operator: Good morning, ladies and gentlemen and welcome to the Gentex reports Third Quarter 2016 Financial Results Conference Call. Today’s call is being recorded. And I would now like to turn the meeting over to Mr. Josh O’Berski with Gentex, Investor Relations Manager. Please go ahead, sir.
Josh O’Berski: Good morning and welcome to the Gentex Corporation’s third quarter 2016 earnings release conference call. I am Josh O’Berski, Gentex’s Investor Relations Manager and I am joined by Steve Downing, Senior Vice President and Chief Financial Officer; Kevin Nash, Vice President and Chief Accounting Officer; and Neil Boehm, Vice President of Engineering. This call is live on the Internet by way of an icon on the Gentex website at www.gentex.com. All contents of this conference call are the property of Gentex Corporation and may not be copied, published, reproduced, rebroadcast, retransmitted, transcribed or otherwise redistributed. Gentex Corporation will hold responsible and liable any party for any damages incurred by Gentex Corporation with respect to any unauthorized use of the contents of this conference call. This conference call contains forward-looking information within the meaning of the Gentex Safe Harbor statement included in the Gentex Reports Third Quarter 2016 Financial Results press release from earlier this morning and as always shown on the Gentex website. Your participation in this conference call implies consent to these terms. Now, I will turn the call over to Steve Downing who will give the third quarter 2016 financial summary.
Steve Downing: Thank you, Josh. For the third quarter of 2016, the company is pleased to report net sales of $429.6 million, which was an increase of 10% compared to net sales of $389.8 million in the third quarter of 2015. The 10% sales growth was driven by a 9% increase in auto-dimming mirror unit shipments, while overall automotive light vehicle production in the company’s primary regions declined approximately 40 basis points for the third quarter of 2016 when compared with the same quarter in ‘15. The gross profit margin in the third quarter of 2016 was 40.5% compared with the gross profit margin of 39% in the third quarter of 2015. The increase in the gross profit margin was driven by purchasing cost reductions and favorable product mix, which more than offset annual customer price reductions. Income from operations for the third quarter of 2016 increased 15% to $134.2 million when compared to income from operations of $116.3 million for the third quarter of 2015. As a result of the improved gross profit margin and consistent financial discipline in the company’s operating expense growth. Net income for the third quarter of 2016 increased 18% to $92.1 million compared with net income of $78.3 million in the third quarter of 2015. Earnings per diluted share in the third quarter of 2016 increased 19% to $0.32 compared with earnings per diluted share of $0.27 in the third quarter of 2015. The increase was primarily driven by the increase in net income, but was aided by a lower diluted share count on a quarter-over-quarter basis as a result of the company continuing to execute a consistent capital allocation strategy. During the third quarter of 2016, the company repurchased 1.8 million shares of its common stock at an average price of $16.59 per share. As of September 30, 2016, the company has approximately 9 million shares remaining available for repurchase, including the most recent authorization of 7.5 million shares by the company’s Board of Directors. The company intends to continue to repurchase additional shares of its common stock in the future depending on macroeconomic issues, market trends and other factors that the company deems appropriate. During the third quarter of 2016, the company paid down $10 million on its revolver loan in addition to its normally scheduled principal repayment on the company’s term loan. The company may, at its discretion, pay additional principal towards its loans in the future depending on macroeconomic trends, capital expenditure spending, cash and money market interest rates, the amount of free cash flow and other factors that it deems appropriate for timing and amounts of incremental debt repayments. Now, I will turn the call over to Kevin Nash with some third quarter financial details.
Kevin Nash: Thanks, Steve. Automotive net sales in the third quarter of 2016 were $419.8 million, an increase of 11% compared with automotive net sales of $379.9 million in the third quarter of 2015. As noted previously, this increase was driven by a 9% increase in auto-dimming mirror unit shipments in addition to favorable shifts in product mix. Other net sales in the first quarter of 2016, which includes dimmable aircraft windows and fire protection products, were $9.8 million, which was relatively consistent with other sales of $9.9 million in the third quarter of 2015. ER&D expenses increased 10% and SG&A expenses increased 13% for the third quarter of 2016 to $23.6 million and $16 million respectively. ER&D expenses increased primarily as a result of increased staffing to support new product launches. SG&A expenses increased primarily due to increased travel and marketing expenses as well as increases in staffing. The tax rate during the third quarter was 31.5%, which varied from the statutory rate of 35% primarily due to the domestic manufacturing deduction. Based on the company’s forecast and current legislation, the company continues to expect its tax rate to be between 31.5% and 32.5% for calendar year 2016. For some balance sheet items, the balance sheet items represent a comparison versus December 31, 2015, which is also included in today’s press release. Cash and cash equivalents, $534.5 million, down from $551.6 million as a result of short-term investment purchases, capital expenditures, accelerated debt repayments and share repurchases, all of which were mostly offset by cash flow from operations during the 9 months ended. Short-term investments, $152.2 million, up from $4.5 million and long-term investments, $57.5 million, down from $95.2 million at year end primarily due to changes in investment mix. Accounts receivable, $229.2 million, up from $196 million primarily due to the timing of sales within each comparable period. Inventories, $179.4 million, up from $174.7 million primarily due to increases in finished goods. Accrued liabilities, $85.5 million, up from $64.7 million due to the timing of tax and certain wage payments. Some cash flow highlights. Cash flow from operations for the third quarter of 2016 increased to $99.6 million from $91.3 million in the third quarter of 2015, primarily due to increases in net income and changes in working capital. Year-to-date cash flow from operations increased to $353 million from $283.2 million through nine months in 2015, also due to increases in net income and changes in working capital. CapEx for the third quarter was $34.5 million compared with $18.4 million in the third quarter of 2015, and year-to-date CapEx was $91.5 million compared with $62.3 million through nine months in 2015. And the company is maintaining its capital expenditure guidance in the $115 million to $130 million range for the calendar year 2016. And depreciation and amortization expense for the third quarter was $23.1 million compared to $21.2 million for 2015 and year-to-date was $68.4 million compared to $63.8 million in 2015. And the company continues to estimate that depreciation and amortization for the calendar year 2016 will be between $90 million and $100 million. Now to Neil Boehm for our products and business development update.
Neil Boehm: Thank you, Kevin. In the third quarter of 2016, there were 21 net new nameplate launches of our inside and outside electrochromic mirrors and electronic features. The third quarter of 2016 represented the strongest third quarter launch level in the last several years. For example, the net 21 nameplate launches represent a 50% increase over the 2015 third quarter launches and is approximately 5x larger than the third quarter launches of 2013 and 2014. For additional context, the launches in the third quarter were reduced by some minor losses of content on six nameplates, meaning the 21 nameplates were the number of launches net of losses. With this very high level of launch activity in the third quarter, we continue to see strong mix as approximately 40% of the net new launches in the quarter were advanced features. As an update to our integrated toll module system, the company continues to see strong interest from our customers and we continue to work in the hardware and integration of the product. Over the next few quarters, we will be working to finalize the initial designs and complete drive testing of prototypes with the stated goal of having our first confirmed customer toward the end of next year. We continue to see evidence that this product can represent another growth channel for the company over the next several years. As previously announced, Gentex continues to work in the development and launch of full display mirror products for our first four customers. General Motors now has four vehicles in the Cadillac lineup currently offering our full display mirror. We believe this product is very relevant for OEMs and we continue to see market interest, not only from our initial launch customers, but also from other OEMs. As evidence of this, the company is pleased to announce that we can now confirm that a fifth OEM has sourced Gentex as a supplier of this all new technology. We continue to believe that we will see additional program awards for full display mirror in the coming years. Lastly, we would like to invite our investors and analysts to visit our booth space at CES in January 2017 to see some exciting new product concepts that we will be showing this year. Please feel free to reach out to Josh or anyone on the team if you are interested in spending some time with us at the show. Now back to Steve Downing for remainder of the year guidance and closing remarks.
Steve Downing: Thank you, Neil. Our fourth quarter 2016 estimates are based on October IHS production forecast for the fourth quarter, which is expected to be up 1% versus the fourth quarter of 2015. Based on this, as well as the company’s forecasted product mix, we estimate fourth quarter sales will increase between 5% and 10% over the fourth quarter sales of 2015. This brings the 2016 annual revenue estimate to the range of $1.68 billion to $1.71 billion. Based on actual results for nine months ended September 30, in addition to currently forecasted sales and product mix, the company is raising its estimated gross profit margin to be between 39.3% and 39.7% for calendar year 2016. This updated guidance represents the company’s strong margin performance through nine months of this year as well as our confidence that we can continue with much of that strong margin performance throughout the remainder of calendar year ‘16. Based on actual expenses for the first nine months of the year, the company also estimates that operating expenses will be between $152 million and $157 million for calendar year 2016. That completes our prepared comments and we can now proceed to questions. Thank you.
Operator: [Operator Instructions] We will take our very first question from Christopher Van Horn with FBR & Company.
Christopher Van Horn: Good morning, guys and congrats on another great quarter.
Steve Downing: Thanks, Chris.
Kevin Nash: Thanks, Chris.
Christopher Van Horn: So since you mentioned it, I got to ask, on the fifth OEM, we now have a very, very good docket of OEMs rolling out. I think we know about GM. Can you give us a little more clarity, I am not sure if you can say yet who the OEMs are, but maybe if you could just tell us when the model year rollout we were going to see the product on some actual cars?
Steve Downing: Sure. Yes, we can’t show the OEMs’ names yet, but early next year, probably by mid next year, two more of the OEMs will be disclosed and then the third one, that’s not shipping yet, will be later in the year next year and then the fifth OEM that we announced probably looking at a late ‘18 kind of SOP.
Christopher Van Horn: Great. And then on that fifth OEM since it is a new award, can you give us a sense of the number of programs? Is it multiple vehicle lines or can you just not say yet?
Steve Downing: No, it’s going to be a multiple vehicle line OEMs, so it’s not a single car platform. This OEM is looking at it as a broader execution across several vehicles inside of their lineup.
Christopher Van Horn: Okay, great. Can you give us an update on around the tech mix that you are shipping? Is it leaning towards SmartBeam or HomeLink or is it a combination of all of it? Is anything really standing out for you when you talk about the tech shipments?
Steve Downing: Not in this quarter, Chris, it’s actually pretty even across all of the various technologies.
Christopher Van Horn: Okay, great. And then finally, the gross margins were kind of at a 3-year high here. Is this something that – I know you raised the guidance, but was this – was it just the perfect storm of volume and mix and cost savings or is it really just a combination of the things you have been doing over the past 12 months are now coming to fruition and you feel really good about this level?
Kevin Nash: Yes. I think you are right on all those fronts. We had contributions from our purchasing cost reductions. Mix was very solid in the quarter. And then some of the other things weren’t going against us. Manufacturing was pretty efficient this quarter. So, it is a perfect storm of everything going in the right way.
Steve Downing: Yes, I think if you look at that margin performance, it was slightly better than we had anticipated coming into the quarter. And like Kevin mentioned, kind of all the stars aligned. Really, if you look at it though it is the combination and you bring it up very well Chris and that is it’s kind of a combination of things that we have been working on over the last few years and this disciplines have all kind of paid out in this quarter. Obviously, it’s been increasing over the last 3 years like you mentioned. But if you go back in the company’s history, really, you are talking about this margin performance we haven’t seen since really the early 2000s.
Christopher Van Horn: Okay, thanks for taking the questions.
Steve Downing: Thank you.
Kevin Nash: Thanks, Chris.
Operator: We will take our next question from David Leiker with Baird.
Adam Schmitz: Good morning, guys. This is Adam Schmitz on the line for David.
Steve Downing: Good morning, Adam.
Kevin Nash: Good morning, Adam.
Adam Schmitz: Just kind of going back to the product mix, were there any products or features in particular that contributed to the gross margin improvement?
Steve Downing: No, if you look at the mix itself from was fairly consistent, I mean, obviously we have always talked about that 10% growth level kind of being a tipping point. So, if we can get to that growth level, it helps with margin expansion which it did this quarter. If you look really, I mean, the mix was fairly consistent versus what we anticipated. But like we talked about in the last couple of calls and Neil mentioned again today, the number of launches have been a little more weighted towards advanced features than what they had been over the last several years. And so whenever that happens, you are going to see a little stronger margin performance than when the mix is weighted towards base mirrors.
Adam Schmitz: Okay. And then on the international shipment growth in the quarter, I guess, were there any markets that you are seeing higher penetration gains than others?
Steve Downing: Yes, I mean, we saw decent growth actually in the China market and Europe was fairly strong as well.
Adam Schmitz: Okay. And then lastly just taking a quick look at 2017, obviously, this year you are going to finish gross margins around the 39.5% level. Do you see an opportunity to move higher from here and then maybe you can just talk about some of the puts and takes to the gross margin level?
Steve Downing: No, I’d say really our kind of guidance that we started this year with is probably what we will guide next year with, so kind of in that 39% to 39.5% range probably would be the typical range you would see us in. There is a lot of puts and takes obviously on January 1 and that’s we are just starting that process of looking at the backlog, the sales orders and then kind of extrapolating out both what our OEM contracts look like and hopefully, what we will see out of our purchasing, but our goal is to when we hit these margin levels to find a way to maintain them and so that’s what the company will be focused on going into the end of this year beginning of next.
Adam Schmitz: Definitely. Thanks, guys.
Steve Downing: Thank you.
Operator: We will take our next question from Jason Rodgers with Great Lakes Review.
Jason Rodgers: Hi guys.
Steve Downing: Good morning, Jason.
Jason Rodgers: Just a question on the customer price reduction does continue to remain at the same level and if you think there is a risk that this could increase with automotive production flowing?
Steve Downing: Yes. I think if you look though, like you mentioned, I mean we have been running in this range for the last few years. We feel like most of our contracts are designed around an end point around that 2% to 2.5% % range and we have been right in kind of right around that 2.25% to 2.5% really the last few years. So we feel pretty comfortable that, that’s the appropriate range. There is obviously, in our industry, there is always a risk especially when production starts to drop, pressures can happen to the Tier 1 suppliers so we are well aware of that. Our job is to find a way to make sure that doesn’t overly impact our gross margin performance on a go-forward basis. We look at the manufacturing efficiencies and the benefit that we get from the supply community. We feel like we partnered really well with those partners to make sure that we can stabilize margins. So we feel like we have a pretty good shot at making sure we can stabilize these margins in the next year as well.
Jason Rodgers: Alright. And looking at the new manufacturing facility, is that still on track to be completed the end of ‘16, early ‘17?
Kevin Nash: Yes. So we began distribution activities in the middle of summer and then they are finishing off the rest of the facility which lines up with the first part of 2017, you are correct.
Steve Downing: Then there will be a third phase of that that will open into ‘17 of that same building.
Jason Rodgers: And then finally, it’s a small part of the total obviously, but why were other sales flat in the quarter?
Steve Downing: It’s really consistent sales in the market. There has not have been a whole lot of launches from the aerospace side. There has not been a new variance. Timing of certain sales within the prior quarter led to consistency there.
Kevin Nash: You are really looking at I mean when it comes to the aerospace side, you are looking at the Boeing 787 production volumes. I mean that’s what drives that. So as they got their kind of peak volumes or higher level volumes last year really has been fairly consistent production levels since then.
Jason Rodgers: Alright. Thank you very much.
Steve Downing: Thank you, Jason.
Operator: And we will take our next question from Rich Kwas with Wells Fargo Securities.
Rich Kwas: Good morning gentlemen.
Steve Downing: Hi Rich.
Kevin Nash: Hi Rich.
Rich Kwas: Just a handful, so in the quarter here in terms of just a couple of questions here, domestic interior growth, low single-digits, what impacted that, anything specific as it relates to mix, it looks like A, I know you don’t look at ASP as closely anymore but from our vantage point, that was up year-over-year, so was it a function of the exterior mirror growth being strong helping margin and then the mix of the domestic interiors being pretty good despite volume growth being muted, how do we think about that?
Kevin Nash: Yes. So I think in the North American market, specifically we had fairly, Detroit Three was fairly weak. And then we had talked about some losses on a year-over-year basis specifically to German OEM in the transplant side. So that was weak in the quarter. But otherwise, fairly good strong product mix like we talked about earlier, Neil mentioned, Steve mentioned already.
Steve Downing: On the ASP side Rich, really what you are looking out there was that outside mirror strength is actually deterrent to the ASP growth. And so really when you see the ASP start to move like that, it’s really a function of the advanced feature launches that Neil referenced in his prepared comments. Those areas are growing and they are growing very well and that’s what’s going to drive ASP up. So normally and you are looking at outside mirror, you are looking kind of a low-30 year slightly below average price point which is pretty far below our corporate ASP. So those sales being strong on OECs really kind of show you the strength on the inside mirror content side that was occurring behind the scenes.
Rich Kwas: Yes. Now that makes sense, that’s what I was getting at, it seems like you have a pretty favorable mix on the interior side. And then just as we think about fourth quarter here for the gross margin, you had a pretty strong year-to-date here and kind of implies 39-ish type gross margin for the fourth quarter at least if you take the midpoint, so you have typically not had that sort of sequential decline from Q3 to Q4, I mean there has been episodes in the past where you have had some one-offs, but generally speaking, you don’t have that sort of a decline and in some cases, it can be up, but just curious on what’s underpinning the margin outlook and what you are seeing as it relates to production mix or launches or features, etcetera, etcetera?
Steve Downing: Sure. I mean, typically, we tend to be here conservative going into Q4. We have had a few years obviously where the second half of December can vaporize almost overnight. And so when we look at the comments and we see what OEMs are talking about for next quarter and potentials for just slightly lower production levels, we tend to look at that very conservatively and try to find – sorry Josh, try to find a way that we look at and say, hey, what is probably a very realistic outcome given the risk that exists in the market for Q4 and the potentials for shorter shutdowns to happen towards the end of the year. The other side of that is you are looking at a lot of Tier 1 involvements. And we talked about OECs and we talked about our HomeLink modules, those all shipped through Tier 1s. Typically, they go through inventory adjustment period. So, obviously when you talk about the potential for outside mirrors and HomeLink shipments to be a little less than they have been in year-to-date then that would tend to have a little bit of margin pressure given the margin profile of those product lines.
Rich Kwas: But just to your point though the midpoint of that range is pretty much in line with our year-to-date gross margin, so I don’t know?
Steve Downing: It deduced too much, yes exactly.
Rich Kwas: Okay, alright. Yes, I mean, so it sounds like you are factoring in some potential adjustments that may occur as the quarter goes on and trying to accommodate that?
Steve Downing: Yes, exactly, especially on the Tier 1 side. That seems to be the biggest risk factor for us at the end of the year.
Rich Kwas: Okay, alright. And then just follow-up on capacity, so as we think about – as the capacity rolled out over the course of ‘17, my recollection is you don’t expect really any tangible margin pressure from that, but could you just expand on that?
Steve Downing: Sure. I mean, if you look at really the building, like Kevin mentioned earlier, where I would say probably 30% or so occupied in that building right now from a distribution standpoint by the end of the year, we will be working on final assembly lines and that will take capacity, that will occupy another 20% or so of that building roughly. And so when we look at those numbers, some of those are starting to roll on already and it hasn’t obviously affected margin significantly. And really what the change in that is, is because we are kind of easing into the pool in terms of the use of that building versus historically what you have seen from the company, which is usually building opens and we need it like overnight to be fully operational. So, we are not expecting those type of margin impacts. Secondly, the other factors to look at, is just the law of large numbers. So, as the company continues to grow an individual plan has less of a total impact on gross margin performance based on those costs.
Kevin Nash: And lastly, our manufacturing teams continue to do more with less. I mean, they are using the same building capacity in some of our places that they have been, their capacity has increased 20%, 30% without anymore footprint.
Rich Kwas: Okay, got it. And then finally on the 6 to 10 for ‘17, so you made a point saying production just seem factors in the recent production cuts as you look at ‘17. Steve, how do we think about that range? I mean, what would need to happen to get to 10 versus 6?
Steve Downing: Well, really, I mean, if we saw like this year, if we saw production up and our primary markets up 1% to 2%, that’s obviously helps us significantly, because usually those net changes are either additive or reducing our total sales level. Really, if you look at it, the things that will help and hurt, has continued strength in those foreign markets. So, in other words, you mentioned, Rich, the international sales did quite well. As we see these international markets, if they stay strong, that’s definitely a help for us. The other one is the rollout of products like FDM right. If those are stronger than we anticipate, those obviously would tend to help really on the negative side. You have the roll-off of a couple of technologies that we have been talking about, so the mobile eye integration, for instance, if that were to be faster than anticipated, it would help – it would drive you towards the bottom end of the range. Those are kind of the big puts and takes to hitting that range.
Rich Kwas: So, do we think of the – within the 6 to 10 does the midpoint assume 1% to 2% production growth for your relevant markets?
Steve Downing: Yes, say about 1% really, I mean, when we talk about midpoint was really based on an assumption of around 1%.
Rich Kwas: Okay. Okay, great. Thank you. I will pass it on.
Steve Downing: Thanks, Rich.
Operator: Yes. We will take our next question from Ryan Brinkman from JPMorgan.
Ryan Brinkman: Hey, thanks for taking my question. Maybe one on shipment trends and penetration of our international shipments which include emerging markets. They were very strong in the quarter. It looks like interior shipments in North America, there were maybe up only 1% or so pretty similar to the industry. So, question is really where do you think we are in terms of, I guess, the maturation of penetration of auto-dimming mirrors in various markets around the world, including in the U.S. and other developed markets relative to emerging markets where I think the consensus is, its much earlier days?
Kevin Nash: Yes. We talk about this a lot and it’s no secret that North America is our highest penetrated region. Most of the growth there is going to be in B and C segment cars going forward. We have high content on the luxury and SUV market. So that’s why the full display mirror is key for North America going forward. The Detroit Three on a year-over-year basis was soft for us. We saw strong growth in the transplant OEMs in North America, so but it was muted there. And then again, we talked about Europe being somewhere in that 40%ish percent, 35% to 40% penetrated and the Asia regions are more like 10% to 15% or 15%ish. And so obviously we are working hard to grow that market over time and we saw good performance like we have consistently for the last several years.
Ryan Brinkman: Okay, that’s helpful. Thank you. And then just last question is really just a follow-up to your observation, at your Analyst Day and then our conference thereafter, about the substantial growth opportunity for HomeLink in China over the next number of years, I was just curious if you are starting to see any progress there or roadmap for further penetrating the market?
Steve Downing: Yes. It’s a new market that’s still in development, obviously. We have low volume production vehicle that’s going in there right now, late this year. And then there are a couple of more OEMs that start production with HomeLink into the China market that will begin in ‘17. Our only constraint is that it’s still a new market, lot of vehicles, it’s an easy implementation, but it’s the selling and creating the business case for the OEM on why it is a necessity.
Ryan Brinkman: Okay, thanks for the color.
Kevin Nash: Thank you.
Operator: We will take our next question from John Murphy with Bank of America/Merrill Lynch.
Unidentified Analyst: Good morning, guys. This is [indiscernible] on for John. Going back to Adam’s earlier question, you mentioned that China and Europe were strong in the quarter which had helped with the international shipment growth, can you talk about the specific customers that are driving that growth, is it really just the German luxury OEMs and are there any specific platform or program launches that you can call out in the quarter?
Steve Downing: Nothing that we are going to breakout specifically in the region, it was really driven by growth and penetration of again, the same OEMs that we are shipping to in all the regions just further penetration and uptake of our primarily inside mirrors in that region.
Kevin Nash: So really you are looking at the luxury OEMs in Germany are the primary drivers of that. But we did fairly well with Volkswagen during that time as well, so we continue to see strength with really all of our German OEMs.
Unidentified Analyst: Okay, great. And just as a side question, can you remind us what your total revenue or what percent of your total revenue is now attributable to China?
Steve Downing: That’s between 5% and 6%.
Unidentified Analyst: Okay. And then one last question, your growth in interior mirrors has been outstripping that of exterior mirrors for the past couple of quarters, do you believe that that mix shift can hold going forward or is the pattern of the past few quarters driven by launches or something else in particular?
Steve Downing: Well, I wouldn’t look at it as a trend. I mean if you back up more than the last the few quarters, you are referencing and look at the 2 years prior to that, outside mirrors were outpacing inside mirrors. Outside mirrors, in fact in that 2-year period prior to the quarters you referenced, some of those were in between 15% and 20% growth rate. So part of it is just the law of large numbers and the compounding effect of those large growth rates on outside mirrors and then coming back down to a more normalized level. Additionally, what we talked about was one – we had one luxury OEM who was going through a de-contenting that try to address some cost concerns. And so we did have some fairly small, but somehow and still changing the numbers, obviously change based off of that OEM going through those cost pressures and then de-contenting some outside mirrors. And so when you see that and you look at those, if those units have stabilized and that hadn’t occurred and you look at the growth rate, that would have been right in line with what our kind of historical growth rate and more in line with what those inside mirror growth rates were.
Unidentified Analyst: Okay, great. That was very helpful. That’s all for me. Thank you.
Steve Downing: Thank you.
Operator: We will take our next question from David Whiston from Morningstar.
David Whiston: Good morning.
Steve Downing: Hi David.
David Whiston: Margins are really excellent right now and hopefully that will continue, but it does get me thinking in a downturn, can you talk at all about where you would expect operating margins to go?
Steve Downing: Well, anytime we get below, as sales drop in that mid single-digit range, that’s when you start to see pressure. If they started to flatten to zero and then they decline, obviously we invest heavily in automation and so there is some fixed cost base. And we do have some natural hedges built in was the way the variable compensation works with the company. But again, outside of product mix, if we can be in this mid single-digit, close to double-digit growth rate, we feel like we can manage it in this range we have been talking about for a long, long time, 38.5, 39.5, and obviously when stars aligned, we did better this quarter or so and we feel like given our forecasts and everything outside of a macro event, we still feel fairly comfortable that margins are going to be in the range that they have been.
David Whiston: Okay. And you talked about the Detroit Three being weak this quarter, can just talk a bit about the general tone you are in from both your American OEM customers and the Asian and European in terms of are they mostly optimistic, are they cautiously optimistic, are they a little more fearful for the next year or so?
Steve Downing: Yes, I would say if you look – if you backup I mean just kind of walk you the progression is probably the best way to look at it. So, if you backup a year, I would say they were all optimistic like both the Detroit Three and the international guys were looking at the North American market as a solid growth driver for them. I would say now, I would characterize it more as cautiously optimistic. You start to see a few people that are a little probably a little more negative than the cautiously optimistic. I think that’s about the product lineup and how their vehicles are doing inside the marketplace today. And one thing that’s very interesting is trucks and SUVs continue to do really well in this market. And so from a content standpoint that usually bodes really well for us. So, we continue to look at it and say, hey, what is the mix change going to be? One thing that’s interesting is when you watch fuel prices drop like they have been recently or continue to at least be at lower levels, you tend to see the mix move a little bit away from A and B segment and more towards trucks and SUVs, which obviously plays well for us. We do have an expanding book of business, however, in the B and C segment in North America and that’s where a lot of the growth has come from for us over the last, you’d say 18 months to 2 years. So – and we feel like we are well positioned. I would say OEMs are a little more cautious than they were a year ago on the North American market, but we continue to see content and features being the key to driving growth rates for this marketplace.
David Whiston: Okay, thanks. And my last question, there has been a lot of talk this year about autonomous vehicles especially last night with [indiscernible] announcement and I was just curious if you could talk a bit about how autonomous can be an opportunity rather than a threat for Gentex?
Steve Downing: Sure. Well, if you look at a lot of the technologies we have been working on over the last several years, if you look at the HomeLink play, talk about the integrated toll module and really what we are working on is the connected car strategy that includes both the HomeLink and includes the transactional vehicle in our toll module’s product. We believe we have a very unique position in the marketplace to be able to help equip cars and OEMs with the type of technologies they are looking for. If you look at our camera technology, our full display mirror system, all these technologies align well with what OEMs are trying to accomplish inside of the autonomous vehicle space. So, it doesn’t mean that everyone views autonomous as if you are the algorithm provider for autonomous, that, that’s the only play and that’s clearly not the case. You are looking for comfort and convenience, security, those type of features that can help drive Gentex growth into the car of the future.
David Whiston: Okay, thank you very much.
Steve Downing: Thanks, David.
Operator: And we have no further questions in queue. I would like to turn the call back over to management for any additional or closing remarks.
Josh O’Berski: Thank you, everyone, for dialing in and for the good questions. As Neil mentioned, we are happy to host our analysts and investors at CES. Feel free to reach out if you are interested in coming by the booth. And if there are any other questions, let us know. Otherwise, have a great day.
Operator: This does conclude today’s conference call. Thank you all for your participation. You may now disconnect.